Company Representatives: Colin Connolly - President, Chief Executive Officer Richard Hickson - Executive Vice President of Operations Gregg Adzema - Chief Financial Officer Pamela Roper - General Counsel
Operator: Good day! And welcome to the Cousins Properties First Quarter Conference Call. All participants will be in a listen-only mode.  Please note, this event is being recorded.  I would now like to turn the conference over to Pamela Roper, General Counsel. Please go ahead.
Pamela Roper: Thank you. Good morning and welcome to Cousins Properties First Quarter Earnings Conference Call. With me today are Colin Connolly, our President and Chief Executive Officer; Richard Hickson, our Executive Vice President of Operations; and Gregg Adzema, our Chief Financial Officer. The press release and supplemental package were distributed yesterday afternoon as well as furnished on Form 8-K. In the supplemental package, the company has reconciled all non-GAAP financial measures to the most directly comparable GAAP measures in accordance with Reg G requirements. If you did not receive a copy, these documents are available through the quarterly disclosures and supplemental SEC information links on the Investor Relations page of our website, cousins.com. Please be aware that certain matters discussed today may constitute forward-looking statements within the meaning of federal securities laws, and actual results may differ materially from these statements due to a variety of risks and uncertainties and other factors, including the risk factors set forth in our annual report on Form 10-K and our other SEC filings.  The company does not undertake any duty to update any forward-looking statements, whether as a result of new information, future events or otherwise. The full declaration regarding forward-looking statements is available on the supplemental package posted yesterday, and a detailed discussion of some potential risks is contained in our filings with the SEC. With that, I'll turn the call over to Colin Connolly.
Colin Connolly: Thank you, Pam, and good morning everyone. Before addressing the longer term outlook, I want to provide a few financial highlights. As we have discussed in the past, 2022 is a transitional year for Cousins and I'm pleased to report that we are off to a strong start. On the earnings front, the team delivered $0.67 per share in FFO. In addition, we leased 324,000 square feet with a 15% increase in second generation cash rents.  Turning to the outlook, I will share a few facts. The Sun Belt represents only 26% of the national office inventory and yet accounted for 58% of new-to-market leasing in 2021. Over the past few quarters’ buildings built since 2015 accounted for 62 million square feet of national net absorption. On the flip side, buildings built before 2000 accounted for negative net absorption of over 100 million square feet.  The tech industry has added 372,000 office using jobs nationally since February 2020, leading all other industry sectors. ULI’s top U.S. markets to watch in 2022 are Nashville, The Research Triangle, Phoenix, Austin, Tampa, Charlotte, Dallas and Atlanta. As you know, Cousins is invested in each of these cities.  AFIRE’s 2022 investor survey ranked Atlanta and Austin as number one and number two respectively for top global cities for investment. To emphasize, this is not a U.S. ranking. This is a global ranking by very sophisticated investors. Collectively, these two markets account for 68% in our portfolio NOI.  Why do I share this data? Because it highlights the trends driving the office market. Office demand is migrating to the Sun Belt in a significant way. It’s focused on the highest quality and most interesting product, and is largely being driven by the tech sector. These trends make logical sense. Select cities in the Sun Belt have meaningfully urbanized over the last decade. These markets now offer an exciting alternative to gateway cities at a much lower cost. Not surprising, employers are following the talent.  The COVID-19 work from home era has intensified the flight to quality. Culture, collaboration, mentorship, relationships and trust, all suffer in a permanent remote setting. To attract their teams to come together in person, more companies are shifting to exciting space and highly dynamic locations. The goal is to offer a more attractive daily experience than the convenience of the dining room table.  Simply put, a growing percentage of office users are focused on a narrowing percentage of high quality inventory. Demanded rents are rising for the best properties in midtown Atlanta, Buckhead Atlanta, downtown Austin, the domain; Tempe, the south end of Charlotte, the heights in Tampa to name just a few. Conversely commodity or suburban products dressed up with a pickleball court just won't cut it with Amazon, Google or Microsoft.  Cousins is poised to capitalize on these tailwinds. We have been proactively assembling our Sun Belt trophy portfolio for over a decade. In the last two years alone we have sold $1.2 billion of less relevant properties and reinvested the proceeds into the development and acquisition of 300 Colorado and Domain 9 in Austin, Neuhoff in Nashville, 725 Ponce in Atlanta, Heights Union in Tampa and the RailYard in Charlotte. These are all highly differentiated amenitized properties.  Others are now recognizing the powerful Sun Belt trophy trends and trying to replicate our successful path. However, that is easier said than done and it will require lots of buys and sells and noise. At Cousins, the heavy lifting to position our portfolio for the future is largely behind us. For this reason, I have never been more excited about the power of our platform to drive earnings and increase shareholder value. Let me share some specifics.  Our 19 million square foot portfolio is the highest quality and most differentiated office product in the Sun Belt today. It was approximately 87% occupied at quarter end due to recent known expirations, creating our largest organic growth opportunity in roughly 10 years, and NOI growth has been de-risked and is not far away. To highlight, the portfolio is approximately 91% leased as a result of recent leasing wins. In total, we have executed over 1 million square feet of new and expansion leases that will commence in earnest at year end and into 2023. In addition, our lease expirations through 2024 total just 17%, which is among the lowest in the office sector.  Our current development pipeline totals $566 million and the office component is 69% leased. And we have a strong pipeline of potential new investments, including the first phase of our domain central mixed use project, which is a transformational development opportunity in the heart of the domain. There is nothing else like it in Austin and we plan to start late this year.  Looking across our footprint, we are confident that we can continue to pair strategic acquisitions with attractive new developments to generate tremendous value ad returns. We are mindful of potential near term risks from inflation, rising interest rates and geopolitical tensions. Notwithstanding, we have a tremendous opportunity in front of us at Cousins. Our unique and compelling strategy positions us at the intersection of powerful market trends. Our customers have accelerated their return to office. We own the premier Sun Belt portfolio. We have attractive, organic and external growth opportunities and we have a best-in-class balance sheet and team to capitalize on the moment.  Before turning the call over to Richard, I want to thank our entire Cousins, who are the foundation of our success, providing excellent customer service, skill and dedication to their jobs each day. Thank you. Richard. 
Richard Hickson: Thanks Colin. Good morning everyone. Our operations team carried the positive operating momentum from the end of last year into 2022 and once again delivered great quarterly results. As Colin referenced, our first quarter performance demonstrates the strong and resilient demand for high quality office space in the best Sun Belt markets.  As you may recall, on our February call I noted that Omicron variant had muted office utilization in the preceding months. I'm happy to say that we have seen a marked improvement, primarily since mid-March. Of particular note is that larger corporate users, namely in the technology and financial services sectors kicked off previously announced returns to the office in that timeframe. Whether a Cousins customer or not, this is positive on a number of levels. While this activity started later in the quarter and did not have a meaningful impact on our first quarter results, it should bode well for the balance of the year.  Now on to our quarterly operating results. Our total office portfolio lease percentage and weighted average occupancy were 90.5% and 87.4% respectively. Please note that our operating portfolio composition changed this quarter with the addition of 300 Colorado from our development pipeline and the removal of Promenade Central while it is in redevelopment. Those portfolio changes had a modestly negative impact on our lease status and occupancy.  Regardless, our weighted average occupancy declined 160 basis points quarter-over-quarter. In square footage terms, nearly 75% of our occupancy decrease came from two lease explorations in Austin. I'm pleased to say that both of those blocks of space are completely back filled with two great technology companies at a weighted average 20.1% higher cash net rent, and both are expected to be in occupancy in the fourth quarter of this year. As a reminder, we expect our reported occupancy to decline modestly next quarter and then begin to rebound as we move through the second half of the year. As Colin touched on, as of today we have just over 1 million square feet of signed new and expansion leases in our existing portfolio that have not yet commenced. To be clear, this does not include the signed 340,000 square foot full building lease for our Domain 9 development in Austin. These leases have a weighted average commencement date in late November 2022 and an average starting that implied gross rental rate of $47.70, 8.7% above our current in-place gross rents. With only 11.3% of our annual contractual rent expiring through the end of 2023, we see this as a strong level of embedded occupancy and rental revenue growth in our portfolio as we move into 2023.  Our team also delivered solid leasing results in the first quarter. We executed 37 leases for a total of 324,000 square feet, 20% higher compared to the first quarter of 2021 and with a weighted average term of over eight years. This included 224,000 square feet of new and expansion leases, representing 69% of our total leasing activity.  Rent growth in the quarter was fantastic as well, with second generation net rents increasing 15.4% on a cash basis. Like in the fourth quarter of 2021, all of our core markets produced increases in cash rents this quarter. Finally, average net rent per square foot on all activity in the quarter was a strong $35.45, the second highest quarterly print  for that metric in our company's history.  While net rents were exceptional this quarter, leasing concessions defined as the sum of free rent and tenant improvements were elevated at $8.70 per square foot per year. This is about $1 higher than what we posted in the last half of 2021. There's no doubt that upward pressure in tenant improvements is a challenge and we expect this to continue; however, I would note that concessions this quarter were disproportionately affected by one new lease for first generation space at our 92% leased 100 Mill development in Tempe.  This lease had higher cost on a per year basis, because it was only for a five year term, shorter than normal for first generation space. Despite that, we determined that it was a smart investment in the occupancy of the likely fast growing technology company. But for this lease, concessions in the first quarter would have been similar to levels seen in the last half of 2021. Most importantly though, our average net effective rent in the quarter was a solid $23.74, generally in line with net effective rents in our operating portfolio activity during 2021 and pre-pandemic.  Similar to utilization, I noted in February that Omicron variant led to logistical disruptions in the leasing process, primarily tours in late 2021 and into the New Year. Fortunately the disruption was short lived and activity has been robust since. Beyond our reported first quarter leasing activity, here are some metrics that demonstrate the health of our leasing pipeline.  The total square feet of activity in our late stage pipeline is about 40% higher than this time last quarter. The number of lease proposals outstanding at the end of the first quarter was 49% higher than at the end of the prior quarter. There were also 25% more space tours in the first quarter compared to the prior quarter and 40% more compared to the first quarter of 2021. These are encouraging trends. Switching gears, I think it is important to address what is arguably the most important trend in our business today, which is the flight to quality, but office users. Both market data and our specific experience showed that this trend is significant. As with most things though, there are nuances. One important nuance is that this trend does not only apply to new product, though that is an incredibly important part of it. But it also applies to older product that is well located, amenity rich and has been properly modernized. A perfect case study is our recently completed redevelopment of Buckhead Plaza in Atlanta.  We started the project, in late 2020 during COVID and have since completed 262,000 square feet of leasing activity and we anticipate signing another 42,000 square feet imminently. This activity will bring the project from 73% leased, at its lowest point prior to the redevelopment, to approximately 93% leased, not to mention at record rental rates. This is a fantastic success story for our team and our shareholders, especially in the midst of a pandemic.  Our experience with Buckhead Plaza also makes us that much more excited that a sizable portion of our remaining portfolio vacancy is located at Promenade Central, Promenade Tower and 3350 Peachtree in Atlanta. All of these properties are currently undergoing similar redevelopments that are scheduled for completion by the end of 2022.  Looking ahead, we have optimism about the remainder of 2022 and beyond. Cousins has the only large scale, high quality office portfolio located in the very best Sun Belt markets. As our country continues to hopefully get back to a renewed sense of normalcy, we expect to see even more customers returning to the office and a further acceleration in the critically important flight to quality trend.  Before handing it off to Gregg, I want to thank the entire Cousins team. Regardless of the functional area they work in, they demonstrate resilience, hard work and dedication every day. We thank all of you for everything that you do. Gregg. 
Gregg Adzema : Thanks Richard, and good morning everyone. I'll begin my remarks by providing a brief overview of our quarterly financial results, including some detail on our same property performance, our parking revenues, our transaction activity and our development pipeline, followed by a quick discussion of our balance sheet before closing my remarks with updated information on our outlook for the balance of 2022. Overall as Colin stated up front, first quarter numbers were solid. Notably the 15.4% increase in second generation cash net rents marked the 32nd straight quarter this metric has increased. It's averaged almost 13% over that period. We were even able to raise rents throughout the COVID pandemic with positive second generation cash rent growth every single quarter since the beginning of 2020, averaging 13.5%. Despite this strength, we still believe we can roll up rents in the coming quarters.  Focusing on same property performance, cash net operating income increased 0.1% compared to last year, driven by a 0.8% increase in rents, and a 2% increase in expenses. These numbers include two properties here in Atlanta; 3350 in Buckhead and Promenade Tower in Midtown. Richard just talk about them moments ago, that had each had large recent move outs and are undergoing significant redevelopments as we take advantage of the temporary vacancy to update both properties. Despite this work, which many of you have seen in person, we’ve kept these buildings in our same property pool. Excluding these two buildings, same property cash NOI would have increased 2.9% during the first quarter, a better reflection of the underlying fundamentals within our portfolio.  Also as Richard mentioned earlier, while physical occupancy at our properties has accelerated, we did experience a pause during the first quarter driven by the most recent COVID variant. As a result, parking revenues were essentially flat quarter-over-quarter. Context parking revenues comprised between 5% and 6% of our total property revenues and they remained about 20% below pre-COVID levels.  Subsequent to quarter end, we acquired our partners 10% interest in the two Avalon properties located here in Atlanta for a little over $43 million. This price included the payment of a promote to our partners, who control the development sites and it represented a negotiated value of $301.5 million. Our unlevered return after payment of the promote was a very healthy 18.4%. It's been a terrific investment for our shareholders.  Before turning to our development activity, I wanted to quickly highlight FAD, which increased again this quarter. I know it's not followed as closely as FFO; however, it's nevertheless a critical metrics that we focus on here at Cousins and I encourage you to focus on as you analyze us as well as other office companies. We provide a detailed calculation on FAD on page 33 in our quarterly financial supplement.  Turning to our development efforts as Richard mentioned earlier, one asset 300 Colorado in Austin was moved off our development pipeline schedule during the first quarter. The remaining development pipeline represents a total Cousins investment of $566 million across 1.5 million square feet in three assets. Our remaining funding commitment for this pipeline is approximately $300 million, which is more than covered by our existing liquidity and future retained earnings.  Looking at our balance sheet, debt to undepreciated assets is a very low 28%, fixed charge coverage is a healthy 5.6x, our debt maturity schedule is well laddered and our weighted average interest rate is 3.2%.  Net debt to EBITDA at 5.28x, while still very well relative to our office peers, is up from last quarter, driven by a decline in EBITDA, largely attributable to Norfolk Southern’s move out from Promenade Central to the new headquarters building we developed for them a few blocks away in midtown Atlanta, as well as Expedia's move out from Domain 2 in Austin; it’s their new space at our Domain 11 property.  As a quick reminder and as Richard covered earlier, we released 40% of the Norfolk Southern space at Promenade Central primarily to visa and 100% of Expedia space in Domain 2 to Amazon. Although it can be a little lumpy from quarter-to-quarter, we’ve managed our balance sheet between 4.5x and 5x net debt to EBITDA since 2014, and we expected to return to that range by the end of the year.  I'll close by updating our 2022 earnings guidance. We currently anticipate full year 2022 FFO between $2.70 and $2.78 per share unchanged from our prior guidance. This guidance continues to include the settlement of approximately $100 million in forward equity contracts issued to fund our recent heights union property acquisition in Tampa on a leverage neutral basis. It also includes the Avalon transaction that I discussed earlier in the call. It does not include any speculative operating property acquisitions, dispositions or new development starts.  Our guidance includes the impact of rising short term and long term interest rates, includes the impact of operating expense pressure, driven by macroeconomic factors, as well as an increase in physical occupancy, and it includes the impact of supply chain challenges on both our and our customers construction activities. Our customers in particular don't deal with architects and general contractors for a living like we do, and are often experiencing frustrating delays in completing their tenant improvements, which can delay our ability to recognize revenues.  As to earnings cadence as I said in our February call, we expect FFO to be a little bit lumpy, but generally increase as the year progresses. These are moving into Promenade Central and Amazon moving into Domain 2 later in the year, combined with steadily increasing parking revenues and the stabilization of two recently completed development properties, 100 Mill and Heights Union will drive earnings higher through 2022. With that, let me turn the call back over to the operator. 
Operator: Thank you. . Our first question will come from Blaine Heck with Wells Fargo. Please go ahead. 
Blaine Heck: Great! Thanks. Good morning! Maybe for Colin or Richard, so cash rents were very strong this quarter and higher than in many of your recent quarters. Is there anything to kind of unpack around that number? Were there any specific markets that were dominant in the leasing you did or anything in particular about those leases or would you say that the results are representative of the portfolio as a whole? 
Richard Hickson : Hey Blaine! Good morning! This is Richard. I’d say one, it’s a balanced quarter for us in terms of leasing activity. So we saw good results in every market. Like I said in my remarks, every market had some level of roll-up. I'd say as usual Austin is certainly producing higher cash rental roll ups than most of our markets on average, but I’ll tell you Atlanta is still very strong. Every market has been very encouraging and I think the only other thing I had mentioned about this quarter's activity is the Phoenix, kind of punched above its weight in terms of volume. We have some really good activity in Phoenix relative to our portfolio size, and had some very healthy role ups there too. 
Blaine Heck: Great! That's helpful. And maybe just sticking with you Richard, can you talk a little bit about the Atlanta market. It seems as though Midtown continues to see a lot of activity, but Buckhead has been, maybe a little bit slower to recover. Is that a fair characterization and do you think we are anywhere close to a point where Buckhead starts to look more attractive from a rent perspective and we could see some interests from the tenants that have been growing in Midtown in the bucket market. 
Richard Hickson : Sure. You know Midtown no doubt has been a great sub market and kind of a leader in Atlanta and it continues to be; very encouraged by the demand and activity that we are seeing there. But Buckhead is healthy too. We are still very, very much fans of Buckhead and I think what you need to kind of do is like any submarket frankly these days, as we talk about flight to quality and the kind of product that office users are looking for, you have to drill down and look at the different quality and locations of assets.  I’d say it’s not a coincidence I highlighted Buckhead Plaza in my remarks. We've seen incredible activity there, both in terms of rent growth, some of our strongest rent growth frankly in our entire portfolio and in terms of total activity. So I think it's highly specific as to the product that you’re leasing and we're super encouraged about the progress we're making on our redevelopment project at 3350 Peachtree. It's getting to a point where prospects can really see what the end product is going to look like.  So we feel good about Buckhead. 
Blaine Heck: Great! That's helpful. And then just one more for me. Colin you talked about strategic acquisitions as part of the plan going forward. Can you just give a little bit more color on what you guys are looking for, whether it's tilted more towards core properties or something that has a bit of a value add component, and have you seen any effect on pricing as we’ve seen rate increases here. 
Colin Connolly: Well, good morning Blaine. I think our acquisitions history has been focused on, high quality assets that are strategic to our portfolio as a whole, and so when we see assets that you know they are in close proximity to other assets that we own and can create some synergies there or add additional flexibility for our customer base, you know those are all very positive attributes. But we're looking to – we're always looking to upgrade the quality of our portfolio, if we can find opportunities to really leverage our platform to create additional value.  Again, those are in focus for us and if you look over our track record, you know some of those acquisitions have been highly value ad. Others of those have looked more core like, but again have been strategic to our portfolio within a given market and I think a competitive advantage for us here at Cousins is we can also complement those acquisitions with our really strong development platform. And so collectively our acquisitions and development activities have blended to some really attractive value ad returns and at the same time has allowed us to upgrade the overall quality of the portfolio and build some really attractive concentrations in the best set of markets. 
Blaine Heck: Very helpful. Thanks everyone. 
Operator: Our next question will come from Anthony Powell with Barclays. Please go ahead.
Anthony Powell: Hi! Good morning. You talked about the benefit of companies moving to Sun Belt markets. But I'm curious about how some of your longer tenured tenants have been there for a while or are behaving when it comes to renewing. Are you seeing any change in their space utilization and their demand for space, their square footage as they renew their leases in a more hybrid environment?
A - Colin Connolly: Good morning Anthony! You know I would say to-date we've seen kind of less of change than one might think, given a lot of the discussion about an hybrid workplace. You know we've seen many customers within our portfolio expand. We've seen a handful of companies’ contract.  I’d say oftentimes that contraction has been probably more specific to their – an underlying business outlook and I think one thing that's particularly differentiated in our urban and highly amenitized portfolio, as you mention hybrid, I do think flexibility will be something that will need to be offered by companies. But in urban and highly amenitized setting, you know our underlying users by and large are knowledge workers that are looking to come together, again for the collaboration and the creativity.  And I think in the urban context hybrid means the office and some flexibility. I think in a more suburban commodity setting you're seeing customers make you know more of a separate decision, which is office or remote. And so to-date, kind of in our portfolio I think we have not seen kind of companies adopting a hybrid strategy which is flexible and requiring folks to be in the office majority of the time, much less of an impact on demand than perhaps you're seeing out in a more suburban commodity product. 
Anthony Powell: Yeah thanks, and maybe when some of the acquisitions you know, like to talk about your markets, are you kind of happy with your current markets or would you like to expand one or two, thinking specifically about South Florida, either Miami or West Palm or markets like that where you’re seeing a lot more I guess corporate activity recently. 
A - Colin Connolly: Yeah, we are always evaluating at Cousins, kind of new markets and new opportunities. I think for us, any decision to expand into a market, we really look at it through a lens. Does it have certain structural advantages that create kind of macro tailwinds for growth in recruiting you know new companies and talent, and at the same time we look for markets that have got you know enough size too and that we feel confident that over time we can create critical mass in that market, so that we can justify a team you know on the ground in that local operating platform and that entrepreneurial approach has really been a differentiator for us. As we look across the Sun Belt footprint today, I think we're really excited about all of the market that we’re in. We just recently entered the Nashville market last year. We're excited about that and over time we'd like to continue to grow our presence in that particular market, and so you don’t feel opportunity constrained across the markets that we're in today, whether it be Atlanta, Austin, Charlotte, Tampa, Dallas, out in Phoenix.  So again, we’ll continue to look for opportunities, but we're happy kind of where we are. We’re happy to have entered Nashville and I don't see anything too broadly imminent as it relates to new markets. 
Anthony Powell: Alright, thank you. 
Operator: Our next question will come from Jamie Feldman with Bank of America. Please go ahead.
Jamie Feldman: Great! Thank you. Good morning! I think in your initial comment you talked about actually being able to push rents or rent growth in your markets. Can you talk more about you know the kind of pricing power you do have and the leases your signing or how much you think rents are actually increasing in some of your markets?
A - Colin Connolly: Jamie, if you look back over kind of the last year, you know we have been able to drive top line rental rate growth, you know I’d say kind of in the mid-single digits on a percentage basis within our market, and I do think that you know while we've been able to drive top line rental rate growth, I think in some instances we've been able to compress free rent, which has helped us drive our overall net effective rents. But as Richard alluded to and we continue to see some pressure on TI's as construction costs have grown, and so our customers are looking for us to kind of share in those increases in costs, but we've been pleased within our portfolio of how we've been able to drive rental rate increases.  But again as Richard said earlier, not all buildings, even in the urban context are created equal. And as I mentioned, you know we are seeing a growing percentage of the demand focused on a narrowing percentage of the inventory, you know even in places like Midtown Atlanta or here at Buckhead or downtown Austin, and so those properties at the very top are able to drive rental rate growth and those that are in the commodity and lower tier properties I think are continuing to suffer. 
Jamie Feldman: Okay, thank you. And then in Amazon's earnings last night you know they talked about maybe getting more efficient with real estate. Do you – have you sensed any change from them? I know you have exposure to them obviously in several markets. You know do you – have you heard anything about what this means for office or any sense of a change in tone or behavior?
Colin Connolly: We really haven't seen any change in tone or behavior from Amazon. As they are understanding of their comments is that was more directed towards kind of industrial space, as obviously there's been pretty rapid growth in online retail activity with Amazon and perhaps I think – you know perhaps over extended as it relates to industrial space. But we have not seen that directed towards the office market. 
Jamie Feldman: Okay. And then as you think about – you know you also made a comment about you know you've done the heavy lifting to kind of prepare the portfolio. How should we think about what you still may want to sell? That is still a pretty big pipeline or you're kind of there in terms of getting rid of non-core. 
A - Colin Connolly: Yeah Jamie, I think we have done a lot of the heavy lifting, particularly over the last couple of years, but certainly over the last decade we've been kind of very carefully trying to cultivate and curate this portfolio of Sun Belt trophy properties, and as we sit here today, we do believe that's largely behind us.  If we were – I’d say at this point we don't feel any pressure to sell an asset that we don't think will fit into our view of the future of office, but certainly as we see new investment opportunities, compelling investment opportunities, whether that be an acquisition or a development, and the best source of capital is a disposition, we’ll absolutely look at those and in the recycling capital in that manner. But again, I think we feel very pleased that you know our portfolio is in great shape and you know I’d say certainly the assets for us that we look at, I mean we’re less than 10% now of the portfolio of things that would probably qualify for us as non-core. 
Jamie Feldman: Okay. So if you're going to continue to recycle when you find opportunities, does that suggest like kind of you feel like the portfolios are at their maximum size or at the right size? You wouldn’t want to actually grow square footage. 
Colin Connolly: No. Again I think it – when we see and identify new compelling investment opportunities, again we're going to look for the best sources of capital. I think where we sit today, that would likely be an asset sale. We could also evaluate a joint venture in the not too distant past, right. The equity market and the stock prices have been there to justify growing the company. And so again, when we see those compelling investment opportunities, we'll look at all of our different funding sources of capital and try to make the best capital decision that's going to not only create shareholder value, but also balance our earnings trajectory as well. 
Jamie Feldman: How do you do that? How would you gauge or explore, characterize the appetite for JV partners. There is a decent bid right now? 
A - Colin Connolly: Yes, absolutely! I think for us, again we're in a great position with the balance sheet and the portfolio that we’ve got, but we certainly demonstrated in the past that there's a strategic and compelling reason to joint venture an asset or a development. We've been willing to do that in the past, but it's typically – you know it’s not been driven for us for a need for capital. It's been driven by a compelling reason to strategically joint venture in asset. 
Jamie Feldman: Okay, it sounds good. Thank you very much for your thoughts. 
A - Colin Connolly: Okay, thank you Jamie. 
Operator: Our next question will come from Vikram Malhotra with Mizuho. Please go ahead.
Vikram Malhotra : Thanks so much for taking the question. I guess just building upon some of the previous questions you mentioned, obviously you've done a lot of heavy lifting over the last few years and just recycling I guess lower quality may have put pressure on same store or maybe reduced really total earnings. Given the process, it tends to be dilutive at least historically. So I'm wondering, as you look forward longer term, call it three to five years, what's your sustainable sort of cash NOI and earnings growth, whether that's FFO or FAB in your minds. 
A - Gregg Adzema: Hey Vikram! Good morning. It’s Gregg Adzema. I appreciate the question. I think it’s a great question, but you know we don’t provide specific earnings guidance out beyond the current year, so I’m going to be a little reluctant to provide you guidance up three to five years.  But I think the macro message, the thematic message from what Colin talked about in some of the Q&A earlier on, was that the heavy lifting is behind us and there's noise associated with that, and some of the noise associated with that can be dilution in earnings. It doesn't typically affect the same property pool, because that just adjusts to you know what's happening in the overall pool, but it can be dilutive to earnings. You typically sell higher cap rate properties and reinvest in either development pipeline that takes a while to capture the higher going in cap rate or into acquisitions which might come right out of the gate at a lower cap rates, so it can be dilutive and like we said, a lot of that is behind us.  The portfolio is in terrific shape. The number of non-core assets is very low and to the extent that asset sales remain the best source of capital for investment opportunities going forward, you know now that we've got very few non-core assets, the cap rates and the assets we saw will come down and that can be pretty powerful going forward.  So it has been a drag. The combination of recycling, the portfolio over the last few years, as well as some kind of lumpy fees that we've had, most prominently the Norfolk southern fee, really kind of a  our true core earnings growth. But the line of sight now to clean accelerated earnings growth is much shorter and much clearer going forward and we're excited about that. 
Vikram Malhotra : Okay, that's helpful. And if I can just ask on the – again, related to earnings, you mentioned TI’s and you know I guess maintenance CapEx will depend partly on cost construction as well or inflation. But we've seen obviously CapEx as a percent of NOI move up over the last, call it seven years. I'm just wondering for your portfolio, given the quality, like what should we expect as a good sort of run rate for maintenance CapEx going forward, maybe a percent of NOI or a range or something you could share. 
Colin Connolly: Well, I'm not sure how you define maintenance CapEx. We defined CapEx as kind of two buckets, first gen and second gen. So second generation CapEx which I believe is what you're talking about has – you know we measured in totality, and for the last few quarters it's been awhile $20 million each quarter. We also measure it not just in absolute basis, but as a percentage of total NOI and its been running by and large in kind of the upper teens for the past many years. If you look at last year it was 17% of total NOI. For the past five years it’s averaged to 17.5% total NOI. So it’s been a pretty consistent metrics.  You know there’s been talk I know a lot lately about you know an increased cost associated with making sure that your properties are attracted to customers. We've done that for years now. So our kind of run rate on what your calling maintenance CapEx, what we call second generation CapEx has been pretty darn consistent and remains consistent. 
Vikram Malhotra : Okay, great. And then just one more. We've talked obviously a lot about the quality divide from a lot of your peers in your markets and other markets that just seems pretty consistent. So I’m wonder if you can share specific examples or anecdotes, just to get a better sense of the pipeline in maybe the top two of your markets of customers looking for new expansion space, just maybe you can quantify it by industry or if there's specific names you can talk about in terms of just how big is this pipeline in this post-COVID environment over the near term? 
Colin Connolly : Well, it – again, Richard can touch on our current pipeline of deals that are in advanced kind of negotiations. And I think there is certainly as strong as that number has been since the start of COVID, in fact is really back to pre-pandemic levels and that's really coming broad based across all of our markets.  But again, in particular if you look at you know Atlanta and Austin as an example right, you’ve seen over the course of the last two years and in the middle of the pandemic major announcements from companies like Microsoft, Amazon, Google, Meta, Oracle, Tesla, etc., kind of the list goes on and on, but large national and international growing companies that are choosing the Sun Belt for their growth and their expansion.  So it's a pretty exciting time here in the Sunbelt and I think all of our economic development agencies across our footprint would share with you that their pipeline of activity in particular office using pipelines has never been stronger.
Vikram Malhotra : Great! Thanks so much. 
Operator: Our next question will come from Michael Lewis with Truist. Please go ahead. 
Michael Lewis: Thank you. Gregg, I might have missed this, but what was in the interest and other income this quarter. That was about $2.3 million in the past quarter, that's been kind of a negligible line item. 
Gregg Adzema : Yes, the thing that moved that the most this quarter was a payment for residual interest that we had in a joint venture that developed residential lots. You may remember, a long time ago Cousins was actually involved in residential lot development, a long time ago, and it typically happened through joint ventures, and when we liquidated one of those joint ventures we retained a residual interest and future of our sales and...
Michael Lewis: So, that’s a one-timer. 
Gregg Adzema : It’s a one-time. 
Colin Connolly: And just to put a bow on this discussion, our joint venture partner came back to us recently, really out of the blue and said “hey, you know you've got this residual interest, can we buy you a lot of it” and so we sold them our residual interest and that's what's running through the line item. 
Michael Lewis: Okay, got it. You know you guys gave some encouraging leasing number. I agree with you on a flight for quality of the Sunbelt. I think all that makes a lot of sense.  When I look at the portfolio, the occupancy and lease percentage was down sequentially in Atlanta, Austin, Charlotte, Phoenix, Houston, pretty much everywhere, except Dallas and Tampa. When I look year-over-year, you leased up Charlotte, but I think you're down just about everywhere else.  There is small differences, but how should we think about that and you know maybe what do you think about the occupancy or lease percentage? You know what’s the assumption in guidance for the rest of the year. Do you expect that to improve? 
Richard Hickson : So, this is Richard. I want to clarify one thing with how our occupancy is reported in this quarter. I mentioned that we had some ins and outs in the portfolio, one of which was the Promenade Central asset coming out which is obviously 100% leased and occupied, went to zero as its going into redevelopment. So that's actually making, as the way we report, our occupancy looked like it. It went down in Atlanta where it actually modestly went up. So little bit of a weird nuance with how we calculate those numbers relative to Atlanta.  Austin, you already talked about the fact that those two leases that are already backfilled and will reoccupy in the back half of the year are really driving that difference or at least the majority of it, and then as you said, the others are really, they are down, but they are fairly negligible differences and more kind of typical movements that we see in any given quarter. 
Colin Connolly: On a macro level, you know Michael I would just share, I think the decline in occupancy has been – you know again, a large driver of it has been some very specific known move outs, and at the same time we've been actively during COVID repositioning a handful of assets. Buckhead Plaza is one, 1200 Peachtree, now Promenade Central and 3350 Peachtree here in Buckhead. And so as we’ve been kind of going through that effort, we are obviously – you know we think that we are meaningfully upgrading the quality of the building, and that the rents should justify that investment.  So we've seen some move out of customers not willing to pay those rents, but we've had great leasing success behind it and have been moving rents up and creating a lot of value. It just creates a little bit of a timing issue between you know signing of leases and occupancy. And so then again as we shared, we've got over 1 million square feet of leases that have been signed and not yet commenced and that will be towards the end of the year and into next year.  But that really explains, as you look at our statistics, you know over a 300 basis point delta between our percent occupied and our percent leased. We hope that those should converge here towards the end of the year. 
Michael Lewis: Alright, that makes sense. I wanted to ask about the Avalon investment earlier this month. So I used some of the numbers in your supplemental and I was coming out to you know that you valued that building at over $600 a square around like about five caps, something like that. I don't know if the numbers are accurate, but maybe talk about that and kind of if they are accurate, why that was an attractive use of some capital? 
Colin Connolly: Well, Michael again just to frame that project as a whole, it's been tremendously successful for Cousins. It's just under 500,000 square feet in two buildings and really what is probably the most dynamic kind of mixed use project, kind of outside of the 285 in town Atlanta. So it's been – the project as a whole has been a home run for us.  On the development side we started both of those buildings on a pretty speculative basis and as we came to an agreement with Hines, we obviously had some outside folks looking at value to determine what was you know a fair market price, and from start of that project today, kind of a life of project return it's you know over 18% on an unleveraged basis, net of the promote.  So it’s been a huge home run, but we do think there is further left, market rent, growth opportunity in those Avalon buildings. We already own 90% of it, and so from our perspective it made sense to consolidate the ownership and own those a 100%. 
Michael Lewis: That's all for me. Thanks guys. 
Colin Connolly: Thank you, Michael. 
Operator: . Our next question will come from Daniel Ismail with Green Street Advisors. Please go ahead. 
Daniel Ismail: Great! Thank you. I just had a question on retention rates. I'm curious how, you know now that we are post, you know two years post COVID, how retention rates across the portfolio have trended and when you guys are either planning on making new acquisitions or planning out the rest of the year, what do you think of a good number to use as its really historical for most companies, the quality we’re generating around 50% to 60%, but I'm curious how that has trended over the past two years? 
Gregg Adzema: Yes Danny, I’d say it’s still kind early to tell and right, we're just kind of emerging from the pandemic. I think a lot of companies are still you know trying to figure out their exact strategy and I’d say our specific, again statistics, a lot of the expirations that we’ve had this year and last year, those retention metrics are skewed by again several large kind of move outs that we’re moving to new construction.  But as we look forward, you know again I think given the quality of the portfolio that we've got and the dynamic locations that they are in, our view is that our portfolio should outperform the market as it relates to retention and occupancy and driving rental rates. But I’d say it’s still just a bit early to define and ring fence exactly what our retention rate would be. 
Daniel Ismail: Got it. And then curious about life science across our markets. You picked up a life science or a partial life science asset in Tampa last year and over the past call it two quarters we've seen two of the largest owners in life science enter the Sunbelt. So I’m just curious, you know any new thoughts on that potential opportunity and how Cousins is evaluating it. 
Colin Connolly: Yeah, look historically life science has not been a large part of the market across the Sun Belt and we are starting to see that change, and I think that’s a positive for our overall markets and perhaps in time to create an opportunity for Cousins.  But if you look at Downtown Austin and the addition of the Dell Medical School, we're seeing some activity here in Atlanta, really a lot of that driven by things happening at Georgia Tech and the CDC. And so there is more attention and focus to that, and so certainly that's something that we are educating ourselves, getting up to speed and perhaps there could be opportunities for us to work with really, you know folks that have got long term life science experience, but perhaps need and want some of our local expertise and relationships.  So it's something that we are certainly studying and watching, but overall very encouraged that you're starting to see again the same migration, you know out of places in the Northeast and the West Coast across all sectors and all fronts, really taking a hard look at what the Sun Belt has to offer today. 
Daniel Ismail: Got it. Thanks Colin. 
Colin Connolly: Yes, thank you Danny. 
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Colin Connolly for any closing remarks. 
Colin Connolly : I want to thank everybody for your time today and interest in Cousins Properties. We are encouraged where the company is and where we're headed and look forward to hopefully seeing many of you in person at Nariet in June. Thank you. 
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.